Operator: Welcome to the fourth quarter and year end 2008 earnings conference call. (Operator Instructions). As a reminder, this conference is being recorded Tuesday, March 03, 2009. I will now turn the conference over to Lisa Wilson. Please go ahead.
Lisa Wilson: By now you should have received a copy of our earnings press release issued this morning. If you have not, you may access it through the investor relations section at our website. Richard Friedman Chairman and Chief Executive Officer, Stanley Rosenbaum Executive Vice President and Chief Financial Officer, and Rick Smith President and Chief Operating Officer will host this morning’s call. The call is expected to last about 45 minutes and may be accessed through our website at bioscrip.com. Before we get started, I would like to remind everyone that any statements made on the conference call today or in our press release that express a belief, expectation or intent, as well as those that are not historical facts, are considered forward-looking statements and are protected under the Safe Harbor of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on information available to BioScrip today and the company assumes no obligation to update these statements as circumstances change. These forward-looking statements may involve a number of risks and uncertainties, which may cause the company’s results to differ materially from such statements. These risks and uncertainties include factors detailed in our SEC filing including our Forms 10-K and 10-Q. Also, the company urges caution in considering any current trends or guidance that may be discussed on this conference call. The Pharmacy Services industry is highly competitive and trends and guidance are subject to numerous factors risks and influences, which are described in the company’s reports and registration statements filed with the SEC. In addition, the impact of current national and global economic conditions on our business may be difficult to predict. The company disclaims any obligations to update information on trends or targets other than in its periodic filings with the SEC. In addition, as required by SEC Regulation G, the reconciliation of any non-GAAP measures mentioned during our call today to the most comparable GAAP measures can be found in Schedule 3 to today’s press release and is available on our website on the investor relations page under the link press releases. Now I would like to turn the call over to Rich Friedman.
Richard Friedman: Thank you for joining us today to review BioScrip’s fourth quarter and year end results. This morning we’re going to discuss the highlights of both the quarter and the full year, as well as provide an update on our sales and operational strategic goals for 2009. I will begin by addressing some of our 2008 highlights, as well as an overview of our 2009 strategic initiatives. Next, Stan Rosenbaum, our CFO, will take you through BioScrip’s fourth quarter and year end financial results. Afterwards, Rick Smith, who joined our executive team in January as President and Chief Operating Officer, will provide you with a little more detail of what we intend to accomplish in terms of our 2009 strategic goals and objectives. BioScrip’s operating results are inline with our expectations and continue to be driven by solid organic growth. We are equally focused on improved liquidity and cash flow and will continue to reduce our bank debt. This generation of cash will permit us to support our growth initiatives. Furthermore, as anticipated, our gross margins trended upward and we expect this trend to continue in 2009. In 2009, one of our highest operational priorities is to complete the implementation of our enterprise system. We expect this system to improve overall operating efficiencies and provide BioScrip the ability to deliver consistent value added patient management programs and provide critical data and analytics to improve patient outcomes. This system will improve the efficiency of our pharmacy dispensing and clinical management while improving accounts receivable and inventory processes. Data reporting and management will be enhanced providing greater opportunities to partner with payers, pharmaceutical companies and physicians. Turning to SG&A, we expect to continue to drive down costs, and upon completion of the upgraded system, more costs are expected to be eliminated. In 2009, we will also be expanding our footprint and product offerings in both our infusion and retail businesses further enhancing our operating margins. As Rick will discuss in greater detail, we will also be developing centers of excellence to support the required demand within our communities. Our clinical BioScrip care and MD star programs introduced in 2007 were designed to help clients manage drug expenditure and improve patient adherence and persistence to therapy. These programs are being enhanced to address market needs for the cost effective maximization of therapy outcomes benefiting patients and payers alike. These sale and marketing innovations exemplify our intent to build a more efficient patient focused specialty pharmacy company that proves value every day. BioScrip’s outstanding reputation with physicians and manufactures has been a key contributor to our growth. We believe that our focus sales and marketing initiatives, along with our high touch local presence, will boast a future upside and will be a key to expanding our footprint in select new markets while providing the most care and cost effective solutions for our healthcare constituencies. I will now turn the call over to Stan.
Stanley Rosenbaum: Today we announced a fourth quarter net loss of $76.6 million or $1.98 per share on revenues of $366.6 billion, which includes a goodwill impairment charge and intangible write-off totaling $80.2 million net of taxes. These results compare to net income of $2.5 million or $0.06 per diluted share on revenue of $309.2 million for the fourth quarter of 2007. Excluding the goodwill impairment and intangible write-off, the company would have reported net income of $3.6 million or $0.09 per diluted share. EBITDAR was $6.6 million for the fourth quarter compared to $5.9 million for the same period a year ago. For the year ended December 31, 2008, we recorded a net loss of $74 million or $1.93 per share, which includes the $80.2 million impairment charge net of tax. This compared to net income of $3.3 million or $0.09 per share for the same period a year ago. Excluding the impairment charge and intangible write-off, the company would have reported 2008 net income of $6.2 million or $0.16 per diluted share. Let me share with you some of the highlights of the fourth quarter and full year. In the fourth quarter our revenues increased 18.6% to $366.6 million. Of this increase specialty revenues increased 22.3% to $314 million. This growth came primarily from managed care and network contracts in conjunction with direct to physician sales efforts for specialty therapies. Although fourth quarter 208 gross profits declined to 10.4% from 11.7% in the fourth quarter of 2007, gross profit dollars increased to $38 million. The decline in gross profit percentage reflects the impact of the lower margin Cap and United businesses. Operating expenses as a percent of sales, exclusive of the impairment charge, improved from 10.7% in the fourth quarter of 2007 to 9.3% in the fourth quarter of 2008. Operating profit, exclusive of the impairment charge, increased 29% to $4 million. EBITDAO increased 11.9% to $6.6 million. For the full year, our revenues totaled approximately $1.4 billion, an increase of 17% over the prior year. Specialty sales were $1.2 billion, an increase of 22.8% over the prior year. As with the quarter, this increase reflects growth from managed care contracts in conjunction with direct to physician sales efforts for specialty therapies. Gross profit dollars increased 3.8% to $142.2 million. Gross margin declined from 11.4% to 10.1% primarily due to the mix associated with the Cap and United businesses. Operating expenses, exclusive of the impairment charge, declined as a percent of sales from 10.7% in 2007 to 9.4% in 2008. Operating profit increased 16.9% to $10.4 million. Let’s turn to liquidity and capital resources. At December 31, 2008, our borrowings under our credit facility were $50.4 million. The increase in borrowings of approximately $17 million for December 31, 2007 was primarily due to working capital needed to support our growth. Especially in these times, we are focused on improving our liquidity. One important metric is average borrowings outstanding in the quarter. In the third quarter of 2008, our average borrowings were $47 million, and in the fourth quarter average borrowings were $41 million. In January and February of 2009, average borrowings were $37.5 million and we expect this positive trend to continue. Availability under our credit facility has increased to $43 million. Cash generation from operations combined with more efficient receivable and inventory processes, will provide us with sufficient cash to support current and on going business requirements. Lastly, the new integrated dispensing accounts receivable and new enterprise system is on target for full implementation by the end of the third quarter. The implementation of this system will allow us to improve our day sales outstanding, as well as our inventory turns. I would now like to introduce you to Rick Smith, our President and Chief Operating Officer.
Rick Smith: I’d like to start off by saying I’m very excited to be at BioScrip. Since joining at the beginning of January, I found a company with a very strong platform of assets and capabilities on which to build future growth. Our employees are very passionate about superior patient care and it shows in our customer service levels. During my first 60 days, I have established key priorities for 2009 in those areas of the company that will have the most positive affect and impact on 2009 and into 2010. These areas include a review of talent, revenue programs, clinical programs, our operating cost structure and the new enterprise system installation. The review criteria so far has focused on activities that will lead to increased levels of cash flow generation. In summary, we will be very focused on continued revenue growth from our many assets. We will look to expand our operating margins and to build successive improvements in operating cash flow generation. We are focused on building stronger direct relationships with managed care while cross selling our many capabilities. We look to expand our infusion footprint by adding more infusion pharmacies and ambulatory infusion centers in existing, as well as new markets. By Q2 we expect to be in nine total markets dedicated to infusion and to define our expansion plan for the rest of 2009. We will report on our activities on the next investor call. Our plan will allow us to continue to leverage our national reach yet take advantage of our expanding local presence in many markets. We will continue to build on our clinical leadership programs and establish a network of clinical centers of excellence in all of our locations This means driving consistent clinical capabilities and a wider breadth of therapy programs at all of our pharmacies. Through our enhanced care management programs we will take advantage of their key strength by bringing them to new markets and to new therapeutic areas of application. I came to BioScrip because I believe it is a strong company that has evolved as market leader in thought, programs and actions. BioScrip will continue to look for opportunities to create future shareholder value through improved execution of our strategic plan. We will have more details to share with you on our progress of our 2009 plan on our Q1 conference call. Rich?
Richard Friedman: Thank you Rick and welcome aboard. Overall in 2008, we made significant progress toward our goal of being recognized by physicians, manufacturers and payers as the expert in providing patient access to specialty medications, as well as hands-on assistance through the clinical, financial and administrative complexities commonly associated with these drugs and the chronic illnesses they treat. Our focus sales and marketing initiatives, along with our high touch local presence and our national network of pharmacies, will boost a future upside. It will also be a key to expanding our footprint in select new markets while providing the most care and cost effective solutions for our healthcare constituencies. I thank you for your attention and we will now open the lines for questions.
Operator: (Operator Instructions) Your first question comes from Brooks O'Neil – Dougherty & Company.
Brooks O'Neil – Dougherty & Company: I have a number of questions. I guess first I’d like to start off, Stan, perhaps you could talk to us about the tax rate and in particular, I guess two questions, I know it’s a very complicated situation, but number one, can you comment on what the tax rate might have been excluding the impact of the impairment charges this quarter. And two, can you talk about what impact those impairment charges might have on your tax rate going forward into 2009?
Stanley Rosenbaum: Let me talk about taxes. Let me start with on a going forward basis and then I’ll come back into the fourth quarter. We will still have a banking credit going forward of about $800,000 per year and if you add about 5% for state taxes, that would be how I would model out our tax provision going forward. As for the fourth quarter, we reversed basically all of the banking credits that we had done in the first three quarters and that was treated as part of the goodwill impairment charge. We also had a 5% roughly provision for state taxes in the fourth quarter offset by a one-time reversal of a reserve that we had setup under FIN 48 at the beginning of 2007 as the statute of limitations had expired on that particular liability. That’s why we had the $400,000 plus goodwill in the fourth quarter. So, again, hopefully that answers your question.
Richard Friedman: Brooks, this is Rich. Just let me add on just looking back over the prior few quarters just so everybody’s aware in the first quarter the tax expense was $77,000 followed by $1.072 in the second and $730 in the [inaudible]. So just trying to give for comparative purposes what the taxes look like. So when you look at the third quarter it was approximately $0.02 per share.
Stanley Rosenbaum: On a normalized tax rate, you remember, Brooks we also have under 109 we are required to setup a reserve against our tax assets. So that will continue into the foreseeable future, therefore, going forward you will only see the state taxes and that $800,000 banking credit.
Brooks O'Neil – Dougherty & Company: Secondly, I guess one thing that popped out at me was that the G&A expenses did pop up about $1 million from the third quarter and obviously I’m guessing Rick is very high priced talent, but maybe you could just comment on any other factors that drove that increase and what the outlook for that line item might be going into 2009.
Richard Friedman: Well, the high priced talent didn’t start until January.
Stanley Rosenbaum: The increase occurrence that our bad debt expense was up $400,000 returning to what I consistently said as a more normalized bad debt percentage rate of 0.5% to 0.6%, in this case it’s a 0.5%. The SG&A increase reflects several items. One is there is a provision for a shutdown of our Palm Springs location. There was some severance associated with the closing of Cap and some other severance costs that we took in the fourth quarter as well. We stand by our guidance that we will take $4 to $6 million of expenses out in the coming year associated with programs that are no longer going to be in use in our company. Further cuts of SG&A will occur as the system comes on line, and we expect to have even additional cuts beyond that $4 to $6 million.
Brooks O'Neil – Dougherty & Company: I'm curious, Rick talked briefly about the infusion strategy and they know you plan to give us more details down the road, I'm just curious in a sort of at a strategic level if you're thinking more of a build strategy, building out existing units to include infusion capabilities or opening new stores on a denotable basis versus acquisitions in that piece of the business and how that squares with the strong focus on driving improved cash flow, which I know all shareholders will appreciate.
Rick Smith: Brooks, this is Rick. I think from my perspective of having run Coram and also Option Care, there's significant strategic value in both offering the chronic and acute clinical models to the marketplace. And so we think that the platform we have at BioScrip actually is deeper and richer than what I saw at those other two companies when I was there. And I think that offering the infusion capability is something that will clearly lead to higher levels of cash flow generation, expand our margins and be very strategically important for us. And so I think from our perspective, we're looking at launching and building and extending off of our current locations where we have proved that model to be successful over the last year and a half or so. We will also be looking opportunistically if there is an acquisition that could be made then we won't rule against it. But we essentially look at it carefully to see if it fits into our strategic needs and our plans in terms of building out our footprint.
Brooks O'Neil – Dougherty & Company: Maybe I could ask Rich if he could comment his feeling on the outlook for biosimilars. I know a number of people believe that the Obama Administration is going to push that pretty aggressively. Do you see that as an opportunity for BioScrip, Rich?
Richard Friedman: Sure. We're aggressively looking at it. We have people dealing with the manufacturers on a daily basis, seeing what is out there on biosimilars. But even, Brook, looking at the administration, the administration is trying to do a number of things. You could almost look at the administration as somewhat of looking at development overall in healthcare. If you just look at who they named and what they're trying to do in the stimulus package, I think a lot of it is the expansion giving greater access, but also being able to provide preventive maintenance and management of the chronically ill, which is the greatest expenditure that we all face today. So I think that in addition to the biosimilars, we're going to see a lot of other things as well.
Brooks O'Neil – Dougherty & Company: Maybe the last question I'd ask is can you comment on the impact of the economy, particularly obviously state budgets under a lot of pressure. Have you had any negative issues, either cash flow payment rates, reimbursement, anything related to the general situation in the economy and with state budgets out there today?
Richard Friedman: Well, I'll start first, Brooks, and then we'll turn it over to Stan to talk about the cash flows. Clearly, the states are under a lot of pressure with Medicaid, and the federal government’s stimulus package has identified and, in my guess, will continue to have to support the state Medicaid rolls. We also know as unemployment increases, we're going to see more and more people get on state Medicaid rolls. That being said, we carefully monitor every state to see what is going on with their budget process. I think equally important to understand is that BioScrip only about 10% of our revenue is related to Medicaid. So we closely monitor everything that is going on, and in terms of cash flow, Stan?
Stanley Rosenbaum: Medicaid makes up a nice part of our receivables and we monitor it every day to make sure that we are getting what we should be getting when we should be getting it. We have noticed a slight decline in payments, but nothing that would expect us to have a problem going forward. We are continuing to generate our cash flow and we see no change to that in the future.
Brooks O'Neil – Dougherty & Company: Maybe I'd tack on one extra thing since you mentioned receivables. Obviously that balance was up a little bit and the inventories were up a little bit. Could you just comment on what's going on in each of those two line items?
Stanley Rosenbaum: I'd be happy to. Actually receivables are down from the third quarter, Brooks. Again, the focus is spending a lot more time trying to encourage quicker collections. As far as inventory goes, yes, our inventory is up $11 million. We took an opportunity to raise our inventory in anticipation of price increases in the first quarter, so you'll find that level has come back down to a more normalized level today.
Operator: (Operator instructions) Your next question comes from Mark Arnold – Piper Jaffray.
Mark Arnold – Piper Jaffray: I'd like to start with a few follow-ups to what Brooks was just asking. On the SG&A savings, given that you incurred some of these severance costs associated with kind of closing down your Cap operations a bit and some of these other things in Q4. Should we expect somewhat of a step down in the number right away in Q1, or is it going to be gradual savings throughout the year?
Richard Friedman: I think, Mark, what you're going to see, there's going to be more of a takedown, obviously, with the termination of Cap at 12/31, so you'll see in the first quarter those expenses being eliminated. You'll also start seeing those positions when you had January 31st some of United, March 31st is the other piece of United so you'll see some of that. You'll also have somewhat of a slight offset for a little bit of severance costs, or some severance costs, in the first quarter and as we take out more positions. But overall for the course of the year, you will see it coming down quarter-by-quarter.
Mark Arnold – Piper Jaffray: Okay. Then just on Cap, will there be any kind of Cap carryover into Q1 as you kind of wrap up your commitments to that contract?
Stanley Rosenbaum: Only in terms of collecting the outstanding –
Richard Friedman: Nothing from a revenue collecting standpoint, Mark.
Mark Arnold – Piper Jaffray: Last quarter you guys called out in your prepared remarks that your gross profit margin, excluding the United Health and Cap business would have been 10.9%. Do you have that comparable number for the fourth quarter?
Stanley Rosenbaum: I do, in fact in the fourth quarter it would have been 11.4% without Cap and United, and for the full year, it would have been 11.2%.
Mark Arnold – Piper Jaffray: And that's a little bit higher than the guidance range you guys gave back in your last quarterly call for 2009. Is there any reason to expect 2009 to be materially different than the fourth quarter here, or that number absent the United Health and Cap business?
Stanley Rosenbaum: We stand by our guidance of 10.5% to 11% because a lot of our growth is coming in areas where the margins are higher than Cap and United, but not as high as our overall margins.
Mark Arnold – Piper Jaffray: I guess the last area I wanted to focus on and Rick addressed this a bit in the prepared remarks and you guys talked about this from the last questioner as well, but could you give us an update kind of on where your infusion business stands today? And maybe break that down to the different care settings, home, in-office, ambulatory infusion centers so we have a little bit of context, I guess, as we go into next quarter when you guys talk more about how you intend to grow that business.
Rick Smith: I think we have currently four infusion pharmacies and five AICs and looking by the end of this quarter to have three more of our pharmacies converted in terms of a fuller infusion capability. We have opportunities to open up some of the other markets in terms of conversion with respect to our existing facilities, as well as looking at markets where we could essentially establish a startup operation, given managed care relationships that we have today and others that we would target in the future. So I think from our perspective, we would look to broaden a number of our locations in terms of more of the traditional home infusion capabilities and clinical programs that would allow us to gain greater market share in all of our markets.
Richard Friedman: Just to add onto what Rick is saying one of the critical areas that Rick brings and other people bring is the expansion of therapies. Clearly, as you know, IVIG and our infusion business is the largest by far therapy or the product that we market. With Rick coming on board we are now looking to expand the product offerings into a larger number of products. We do some of that on the west coast, but we’re looking to do that significantly greater over on the east coast and at our expansion, and with the expansion of the therapies, comes high margins.
Rick Smith: We’ve also added some new leadership to our infusion division in essentially replacing the former head of the infusion division with someone with 25 years of infusion experience and we’ve supported that executive with some leadership support underneath him, strong operations support and will continue to increase the capabilities of our sales force in our managed care capability.
Mark Arnold – Piper Jaffray: I’m obviously excited about the infusion piece here so I want to dig just a little bit more, when you talk about expansion of therapies would that include things like enteral and total parental nutrition, chemo. Can you give us examples of some of the things that we might see you guys expand into in these other pharmacies?
Rick Smith: Those would be the ones that would actually be the traditional lines would include antibiotics, nutrition, pain control, cardiac, as well as the oncology area. As I mentioned before, our goal is to handle all the technologies, infusion, injectable oral and a continuous strength in our clinical programs around all the technology in order to potentially give us the competitive edge in the marketplace.
Mark Arnold – Piper Jaffray: Then just one more digging question here on infusion, you talked about having four infusion pharmacies today, three more up and converted by the end of the quarter, but when I think about those, let’s call it seven by the end of Q1, how many of them are doing home infusion today versus supporting physicians in their office with infusible drugs?
Rick Smith: They all are, we’ll also actually add another two, so we’ll get up to the nine that I stated in the prepared remarks. Depending on the patient need and coordination of site of service, they’ll be in the home or the office or in AIC and so all of them have the capability through our existing nursing relationships in all the market, both employed, as well as per diem, to give the level of coverage and service that is required by the patient and the plan of care.
Operator: Your next question comes from the line of Bill Nasgovitz – Heartland Funds
Bill Nasgovitz – Heartland Funds : Could you tell us going forward here what the interest expense will be on this line? Did I hear you correct, did you say you have an additional $43 million of availability, meaning the line is like at $80 million today or something?
Stanley Rosenbaum: The line is $85 million, Bill. We are paying below 5% right now on our loan and that will improve by 30 basis points in the first quarter because of the result of operations of the fourth quarter.
Richard Friedman: Bill, also going back we expect that to continue to come down, as Stan said in his opening remarks, in the current trend of what we’re doing today.
Bill Nasgovitz – Heartland Funds: So what do you think it might be for the year average balance?
Stanley Rosenbaum: I think in the last conference call we said we expected to be down from $15 to $20 million from the high of $55 million in the third quarter. So I would say somewhere down into on average somewhere in the high 20s for the year. Remember, Bill, if you look at our balance sheet, we pay our primary drug vendor on the last day of the month, which is why our balance is always higher. Average is a much better way of looking at our debt.
Bill Nasgovitz – Heartland Funds: What kind of growth rate do you anticipate infusion this year versus ‘08?
Rick Smith: I think we’re looking for normal in terms of relative to where our focus has been traditionally in terms of the key product areas, and I think from a perspective we’re looking to continue to refine that plan in terms of what our growth plans could be relative to our expansion plan.
Bill Nasgovitz – Heartland Funds: I don’t know what you just told me. What is the overall sales growth, give me a range just an idea to follow up on the previous questioner?
Rick Smith: I think we’re looking in the double digits kind of the mid-teen level given our traditional growth line, but I think anything that related to the expansion plans clearly has not been dialed into those projections.
Bill Nasgovitz – Heartland Funds: Just going to the various drugs and things that you’re involved in, Stan, you’ve been pretty good in the past just talking about some of the new products you’ve been picking up or the opportunity. Could you just expand on that or also any competitive threats that you see in this segment of the business going forward, personalized medicine, how that might affect you and things like that.
Richard Friedman: Historically, Scott Friedman has reported on the products, so we’ll let him do that and then we could talk about personalized medicine.
Scott Friedman: We’re seeing steady growth in some of the newer products we’ve seen to market probably over the last 12 to 18 months. Predominantly, I think as we’ve mentioned in previous calls in the area of oral oncolytics, I think those remain strong, particularly in part due to Medicare Part B. On a go forward basis, we stay involved in the pipeline. There are some new products in the pipeline there’s been some recent approval, so we stay active there. We don’t rely solely on new drug launches that devote our business, but certainly we look to stay involved with the manufacturers.
Richard Friedman: And Bill, talking about personalized medicine, I think it’s critical to look at what BioScrip has been transitioning to over the number of years, which is exactly personalized medicine. Our management programs, which really talk about compliance adherence, retention, overall persistence is all about the individual and it’s about the protocols with the individual. We all believe and the administration is looking at in health IT of better ways to be doing this. We’re spending about $20 the administration is looking to spend about $23 billion on health IT and through our systems and our new enterprise system. We believe that we will be able to do a much better job of bringing value, not just to the patients, but also to the physicians, the manufacturers and the payers. Now that our system is fully integrated, it contains the disease management programs it will have the data reporting capabilities individual by individual.
Scott Friedman: I’ll just expand on in addition to the personalized medicine area. I think it’s an area that we’re going to be active in, in the future, certainly as current economic environment you have all the stakeholders always looking for ways to save money certainly at a health plan level for organizations to get involved and look at genetic testing and appropriate utilization of drugs. It’s a way, it started out there, I think it’s going to be looked towards more and more and that’s an area that we’ll look to get involved in. It’s already going on today with some oncology therapies, and I think it’s only going to get bigger and we’ll be there.
Operator: Your next question comes from Mike Petusky – Noble Research
Mike Petusky – Noble Research : A few questions, Stan, do you expect, just going back to the outstanding balances on your credit line, do you expect sequential improvement throughout the year there or is there a seasonality aspect to this where that might not occur?
Stanley Rosenbaum: We expect continued improvement throughout the year.
Mike Petusky – Noble Research: The second question I have is in terms of the conversion that you guys are attempting with your operating systems. I know at one point you had something like 15, 16, 17 operating systems and I believe you’re trying to get down to just a couple. Can you tell me how many operating systems you’re operating off of right now?
Stanley Rosenbaum: We have for our mail we operate one system, for our retail we operate another and for our infusion we operate a third.
Mike Petusky – Noble Research: What are you down to in terms of the conversion?
Stanley Rosenbaum: When we are fully converted our mail and our retail environment will be on the same platform. And we will continue to have a separate platform for our infusion because there is as uniqueness to billing in infusion as it relates to nursing costs, etc., so that is not built in. The decision we have to make a year or two down the road whether we want to build that module as well.
Mike Petusky – Noble Research: I’m not sure if you guys have seen but it looked like the pharmacies that deal with the California Medicaid the Medi-Cal business caught a break on Friday where there was essentially a preliminary injunction against Medi-Cal reducing rates by 5% and I’m wondering how much business do you guys do with California Medi-Cal.
Stanley Rosenbaum: About $18 million a year.
Mike Petusky – Noble Research: Do you have any comments on that particular decision? Are you aware of it?
Richard Friedman: Yes. We like the decision. The same thing happened a year ago, as you know, Mike, when it was at 10% and it got reversed like 40 days later. Obviously, there’s a strong lobby and there’s a strong lobby in all the states. AS everyone knows, reimbursement rates are pretty low to begin with. So we monitor it and we’re very happy with that decision.
Operator: We have a follow-up question from Mark Arnold – Piper Jaffray.
Mark Arnold – Piper Jaffray: One more question on infusion and some of the new therapies you guys are talking about rolling out. Rick, maybe you could answer this given your experience here. You have quite a bit of the infrastructure already in place with the existing pharmacies and with the pharmacists and the call centers, etc. What type of development or new hiring are you going to have to do to market these new therapies to what I believe is a deferent referral source than what the company has had historically for the therapies that have been provided in the past?
Rick Smith: I think we’ve got a field sales force that we started to cross train. They are already calling on a number of the same specialists that could provide infusion therapy referrals. We also are calling on hospitals as well in terms of different critical areas that could also support our infusion revenue growth. So I think it’s really primarily coming out of the box we’ll look to focus on the payer organizations, as well as look at our existing infrastructure. And then also look for more of a variable cost model to get out of the gate in some of these markets in order to take advantage of presence and relationships, and then look to expand our physical footprint at the appropriate time.
Operator: Mr. Friedman, there are no further questions at this time. I will now turn the call back to you. Please continue with your presentation or closing remarks.
Richard Friedman: Thank you all for joining us today. BioScrip clearly continues to make progress. We look forward to getting back together again with you following the first quarter results. Thank you again.
Operator: Ladies and gentlemen, that concludes the conference call for today. We thank you for your participation and ask that you please disconnect your line at this time.